Operator: Good morning everyone and welcome to HealthSouth's fourth quarter and full year 2008 earnings conference call. (Operator Instructions). I would now like to turn the call over to Miss Mary Ann Arico, HealthSouth's Senior Vice President of Investor Relations and Corporate Communications. Please go ahead.
Mary Ann Arico: Thank you, [Melissa] and good morning everyone. Thank you for joining us today for HealthSouth's fourth quarter 2008 earnings call. With me on the call in Birmingham today are Jay Grinney, President and Chief Executive Officer, John Workman, Chief Financial Officer, Mark Tarr, Executive Vice President of Operations, John Whittington, our General Counsel, Andy Price, Senior Vice President of Accounting and Ed Fay, Senior Vice President and Treasurer. Before we begin if you do not already have a copy, the press release, financial statements and the related 8-K filings with the SEC are available on our website at www.healthsouth.com in the Investor section. In addition to the required information we have also provided a set of slides which are available on our website. The first 16 slides will be referred to during the call. The remaining 17 slides include supplemental information for fourth quarter 2008 and full year 2008. Moving to slide one, the Safe Harbor. During the call we will make forward-looking statements which are subject to risks and uncertainties, many of which are beyond our control. Certain risks, uncertainties and other factors that could cause actual results to differ materially or management's projections, forecasts, estimates and expectations are discussed in the company's Form 10-K for 2007 and its quarterly and other SEC filings including the Form 10-K for 2008 scheduled to be filed today. We encourage you to read them. You are also cautioned not to place undue reliance on the estimates, projections, guidance and other forward-looking information presented. Statements made throughout the presentation are based on current estimates of future events and speak only as of today. The company does not undertake a duty to update or correct these forward-looking statements. Our slide presentation and discussion on the call will include certain non-GAAP financial measures. For such measures reconciliation to the most directly comparable GAAP measure is available at the end of the slide presentation or at the end of the related press release, both of which are available on the website and as part of the Form 8-K filed last night with the SEC. And with that I will turn the call over to Jay Grinney.
Jay Grinney: Great, thank you, Mary Ann and good morning everyone. I'd like to begin by saying how enormously proud I am of the 22,000 employees who are the heart and soul of this great company. A year ago HealthSouth emerged from a four-year turnaround a stronger and more focused company because of their steadfast commitment to providing outstanding rehabilitative care to patients across the country. With the new business model in place we began 2008 committed to achieving three basic objectives. First, to solidify our position as the nation's number one provider of rehabilitative care by growing same store discharges and capturing market share; second, to strengthen our balance sheet by aggressively repaying debt, thereby reducing our leverage and third, to expand our services into new markets by adding hospitals in a highly disciplined manner. Our fourth quarter and full year results clearly demonstrate we were able to deliver on all of these commitments. With respect to organic growth our investment in TeamWorks continued to yield impressive results as same store discharges grew 9.7% in the quarter, while total discharges were up 10.6%. For the year discharges increased a very solid 7%. Data from the uniform data system, or UDS, show we grew at a much faster rate than other UDS reporting providers in each of the first three quarters of 2008, indicating we were successful in gaining market share. We also achieved our deleveraging objective. In the fourth quarter we repaid $62.4 million of debt, bringing our total debt repayments for the year to approximately $228 million. Coupled with annual EBITDA growth of 6.4%, our leverage ratio declined from 6.3 times at the end of 2007 to 5.3 times at the end of 2008. And as you'll hear from John in just a moment, our current leverage ratio has improved further due to additional debt repayments made thus far in 2009. Finally, with respect to development, we launched three new hospitals in 2008 and acquired another three, consolidating two of them into existing facilities. While our primary emphasis will continue to be debt repayment, when appropriate we will add hospitals in an opportunistic, disciplined manner. The successful execution of our business plan allows us to report another quarter of better than expected earnings per share growth. Adjusted EPS for the quarter was $0.24 compared to a loss of $0.01 a share in the fourth quarter of 2007. For the year we earned $71.9 million in adjusted income from continuing operations, or $0.75 per diluted share compared to a loss of $58.5 million or a loss of $0.64 per diluted share in 2007. With that I'm now going to turn the agenda over to John Workman for a more thorough review of the quarter and year end results.
John Workman: Good morning. I will be referencing the slides that we filed on Form 8-K in my comments today that Mary Ann mentioned. First regarding income statement revenues which can be found on slide eight, in our inpatient hospitals revenues increased by 7.7% over last year's quarter to $418.4 million. The current quarter does include revenues from our [Bindland] acquisition and our Arlington and Midland consolidations that Jay mentioned. Discharges increased 9.7% on a same store basis. As a reminder, the fourth quarter of 2007 had nine hospitals at the previous 65% threshold and most other hospitals were gearing up to go to 65%, which would have been the threshold under the original 75% rule had there not been the permanent freeze of the rule at 60%. While we cannot specifically identify or quantify the impact we believe it made the fourth quarter of 2007 a softer comparison. Turning to pricing, on a per discharge basis pricing decreased 2.6% from a year ago, which is consistent with the price increase we had in the fourth quarter of 2007 that was subsequently rolled back effective April 1st 2008. Our length of stay or LOS was six-tenths a day shorter than the same quarter a year ago. For the full year 2008 our length of stay was four-tenths a day shorter than 2007. Despite the shorter length of stay our occupancy improved to 65.7% from 61.6% a year ago driven by our significant discharge growth. In looking forward we want to remind you that the first quarter of 2008 still had a pricing benefit and that TeamWorks was installed progressively through 2008 in our hospitals beginning in the first quarter of 2008. This will make our comparables more challenging in 2009. Next looking at our outpatient facilities, our outpatient and other revenue declined 1.5% to the same quarter a year ago. There were 49 satellites at the end of 2008 compared to 60 at the end of 2007. For the full year outpatient and other revenues declined 5.5%. This element of our business is more discretionary in nature than our inpatient hospitals. With this in mind and with some potential additional closures we should expect outpatient revenues to decline in 2009, though I will remind you that outpatient is not a large proportion of our revenue base. Next turning to operating expenses, which can be found on slide nine, salaries and benefits improved sequentially from the third quarter of 2008, but were still higher both in dollars and a percent of revenue to the fourth quarter of 2007. The dollar increase is generally attributable to the higher number of patients treated and a result of a 3% average merit increase to all employees except senior management effective October 1, 2008. As a reminder, these increases will be effective for the first nine months of 2009 before we have any Medicare pricing opportunity. We did continue to see improvement in labor productivity expressed as an employee per occupied bed or EPOB from 3.8 to 3.64. As we also mentioned to you in the third quarter of 2008, we have made some changes regarding benefits including paid time off which we believe contributed to the sequential improvement from the third quarter of 2008 as a percent of revenue. Next, looking at hospital-related expenses, which constitute other operating expenses, supplies, occupancy and bad debts, as a percent of revenues these increased seven-tenths of a percent compared to a year ago but were flat as a percent of revenue sequentially from the third quarter of 2008. As we mentioned last year we experienced a reduction in self insurance cost due to revised actuarial estimates that resulted from current claims history, industry-wide loss development trends and our exit from businesses that were more claims intensive. This benefit was primarily reflected in the fourth quarter of 2007. The fourth quarter of 2008 reduction in self insurance costs was less favorable than the fourth quarter of 2007. We do not believe we'll see a favorable comparison in 2009 for the following reasons. Our business is more steady state. The economy is likely to prevent continued improvement. For example, Worker's Compensation is likely to go up coincident with the higher number of employees. And lastly there are fewer opportunities for process improvements to lessen claims as we have gotten to a mature process. In addition to insurance there was also some elimination of expenses due to state law changes that created benefits in the fourth quarter. Of these two items we estimate the range of these non-comparable items to be $6 million to $7 million in the fourth quarter of 2008. And you should reflect that in your consideration for the quarter and as we look at 2009. We do continue to see higher drug and supply costs as well as higher utility costs than a year ago. Bad debts were improved from the fourth quarter of 2007 reflecting a provision of 1.5% of revenues. As we look into 2009 we may experience some increase as a percent of revenue due to the worsening economy, but still expect to be within the 1.5 to 1.8% run rate that we have previously mentioned. General and administrative expenses were basically flat to the fourth quarter of 2007, but down three-tenths as a percent of revenue. Our goal remains to be at 4.75% of net operating revenues excluding non-cash stock compensation costs, but it's likely not to be achieved until we see some price relief. Depreciation and amortization is below last year for the quarter as the fourth quarter of 2007 included depreciation on the corporate complex sold in the first quarter of 2008. Depreciation and amortization will see some increase in 2009 due to the additions in 2008 and 2009. There are several items on the income statement related to our UBS settlement and for this I would ask you to turn to slide 14. The gain reflected on the income statement represents the $100 million cash payment plus the release of a guarantee of $21.3 million. Professional fees on the income statement include $26.2 million for fees and expenses due to derivative attorneys. There's also 25% of the net cash amount that's owed to securities plaintiffs as agreed to under our securities litigation settlement, and these are included as expense in the government class action and related settlements line on the income statement. Lastly, there was the reversal of $9.4 million of interest expense that had been accrued on the guarantee mentioned earlier. The net of all of this related to UBS is a profit and loss benefit of $88.3 million. We expect to receive approximately $60 million of net cash in the first quarter of 2009. Turning to the government class action related settlements line, it also includes our mark-to-market non-cash impact for the 5 million shares and 8.2 million warrants with a $41.40 strike price that we agreed to contribute as part of the securities litigation settlement. We expect these shares and warrants to be issued in 2009. As mentioned before, this line includes a charge for the amount to be paid to shareholder plaintiffs from the UBS settlement. Looking at the professional fees line it generally relates to amounts being spent in pursuit of the derivative claims against UBS, Ernst & Young and Richard Scrushy and does include the $26.2 million of fees and expenses to be paid to derivative attorneys as I mentioned previously. Next, turning to items below operating expenses, interest expense includes a $9.4 million benefit as a result of the UBS settlement. Overall interest expense is down due to our lower debt level and lower rates. I'm going to speak more about that later. The mark-to-market charge on the interest rate swap was because LIBOR was lower at the end of the fourth quarter than it was at the end of the third quarter. As a reminder, our swap covers $1.121 billion notional amount and is at a 5.22% fixed rate. The swap declines by $65 million in 2009. On the income benefit line we have a $48.4 million benefit. This majority of this benefit related to an additional federal refund for the taxable years 1995 through 1999 that was approved by the joint committee in the fourth quarter of 2008 and subsequently received in February of 2009. Next, turning to adjusted consolidated EBITDA which can be found on slide 10, adjusted consolidated EBITDA was $87.8 million for the fourth quarter compared to $86.4 million in the fourth quarter of 2007. We are pleased with the results of the quarter. The fourth quarter of 2007 included a benefit of approximately $8 million from the Medicare price increase instituted on October 1, 2007 that was subsequently rolled back April 1, 2008. For 2008 for the full year adjusted consolidated EBITDA was $341.8 million compared to $321.3 million in 2007. As a reminder, 2007 included an $8.6 million gain related to the sale of our source medical stock. Next I'd like to comment on net income, net earnings per share, which can be found on slide 11. In discussing net income and EPS in the quarter we believe there are some adjustments that should be considered. These items are either non-cash or non-recurring when one is considering income from continuing operations. The adjustments to EPS are similar in nature to the adjusted consolidated EBITDA but not identical. The adjustments to EPS generally relate to payments on litigation, mark-to-market or fair value adjustments to liabilities, the exclusion of the interest expense recoupment related to UBS settlement and removal of our income tax benefit. We have also added an estimated state income tax expense to reflect a run rate for this element. Considering these items adjusted income from continuing operations is $24.3 million representing a $25 million improvement in income and adjusted EPS is $0.24 per share representing a $0.25 per share improvement in EPS over the fourth quarter of 2007. On the same basis, full year adjusted EPS is $0.75 per share. This level of adjusted EPS validates our strategy and we believe represents a significant valuation metric when looking at HealthSouth stock value per share. Next I'd like to turn to the balance sheet. Available cash was $32.2 million at December 31, 2008. The increase in restricted cash at year end is the escrow of the UBS proceeds by court order. You will also notice our insurance recoveries receivable declined $47.2 million from the end of 2007. This relates to draws against the amounts for the fees due the attorneys representing the securities plaintiffs as permitted by the court. There was an equal and corresponding reduction in our government class action and related settlements liability. These two items had no cash impact whatsoever on HealthSouth. Looking at long-term debt, slide six was $1.81 billion at the end of the fourth quarter of 2008. For the year debt was reduced $228 million representing cash repayments of $254 million offset by $24 million of capitalized lease obligations added during the year. This included and with the benefit of $150 million of a block trade transaction at the end of the second quarter which was also used as part of the debt reduction. As Jay has mentioned our leverage ratio declined one full turn from a year ago. In addition, subsequent to year-end debt was reduced an additional [$64] million from the tax refund mentioned previously in cash from operations. This reduced our leverage ratio by another two-tenths percent putting us at a 5.1 times ratio. Since 2006, and through today, debt has almost been cut in half. Our credit agreement contains covenants, namely a leverage covenant and interest coverage ratio. We are in compliance with these ratios at the end of the fourth quarter. With the uncertainty in the economy we’ve also included a liquidity schedule which can be found on slide 13. Based on our available cash and undrawn revolver we had $339.5 million of liquidity at the end of the year. This will be increased by $33.6 million as a result of the letter of credit requirement being removed with the UBS settlement. Since the end of the year we have repaid our revolver draws of $40 million. This does not include the approximately $60 million of cash in the UBS settlement that we expect in the first quarter of 2009. Next turning to cash flow, which can be found on slide 12, free cash flow adjusted for interest rate swap payments and dividends on preferred stock for 2008 was $82.1 million. Total capital expenditures including acquisitions for the year were $88.8 million. The following is a breakdown of the components. For the year $32.8 million was spent on acquisitions that Jay had mentioned previously. Secondly, capital expenditures not of a maintenance nature were $18.7 million. These primarily represent payments towards already announced de novos, our cost related to reconfiguring a corporate office and some in IT infrastructure. Lastly, maintenance capital expenditures of $37.3 million were spent which included monies on our refresh programs in our hospitals. On the cash flow you will also notice we had $12.2 million use of working capital which is related to our growth in receivables from our revenue growth. As Jay mentioned in his comments we will be focused on deleveraging the balance sheet in the near future. As such, we will be looking to finance the real estate on new de novos from inception. We will continue to be very disciplined in our use of cash with a strong direction to reduce our leverage. Uses of outside of debt reduction are being evaluated from a cash-on-cash perspective, generally expecting a payback in three to four years. With this I’ll turn it back over to Jay.
Jay Grinney: Great, thank you, John. Before we take questions I’d like to address 2009 guidance. When we developed our business model we predicted it would enable us to generate mid to high single digit EBITDA growth and high teens EPS growth on a sustained basis once we had stable pricing. We believe these results remain achievable despite the current economic environment. As we stated on our third quarter call we believe our business model is resilient due to the following. First, most of the services we provide are non-elective in nature. Strokes, hip fractures, debilitating neurological conditions all require immediate medical intervention and essential post-acute rehabilitative care. Second, since most of the services we provide are covered by Medicare we don’t have significant payer risks. The relatively small amounts of co-pays and deductibles we collect are primarily associated with our outpatient business, which as John said is a small component of our total net operating revenues. Furthermore, unlike other post-acute providers we have virtually no exposure to Medicaid, which is coming under increasing pressure in many states due to budget shortfalls. Finally, our financial condition is improving. We have approximately $350 million in liquidity, are aggressively repaying debt and reducing our leverage and don’t have any near-term maturities until 2012 and beyond. As we look out into 2009, we believe continued focus on our proven strategies, providing superior clinical outcomes, sustaining our standardized sales and marketing practices and adding beds at hospitals experiencing capacity constraints will allow us to achieve 4% plus growth in discharges for the year. Our 2009 net operating revenues will be determined by two factors; what happens to our Medicare inpatient pricing and our outpatient revenues. For modeling purposes we anticipate outpatient revenues will continue to deteriorate but at a lesser rate than in 2008. While it’s difficult to gauge how much of an inpatient increase we’ll get from Medicare, we are optimistic we’ll get something, in large part because by the fourth quarter our sector will have gone for 18 months without any Medicare price adjustment. While we anticipate receiving a Medicare price increase in October, for guidance purposes we are providing ranges based on two assumptions. At the low end that we won’t get any update, and at the high end that we’ll receive a modest update. From an expense standpoint, our goal is to keep our labor cost increase approximately 4% and below 51% of net operating revenues. The balance of our hospital-related expenses will be managed to an overall increase of between 3% and 3.5 %. Meanwhile, we will keep G&A flat in 2009 and as a percent of net operating revenues, at 4.75% or less by the end of the year. As John mentioned there were approximately $6 to $7 million of non-comparable items in the fourth quarter of 2008. Excluding these, we would have been at the top end of our EBITDA guidance for the year or $335 million. The forecasted EBITDA range of $342 to $352 million for 2009 represents an increase of between 2.1% and 5.1% on this basis and reflects the Medicare pricing and outpatient revenue assumptions mentioned above. As we have stated many times our focus is to produce solid shareholder returns by generating annual sustainable EPS growth of 15% to 20%. Our forecasted EBITDA growth coupled with continued progress on our deleveraging priority make us believe we can achieve this goal in 2009. Accordingly, we are predicting adjusted EPS to be in the range of $0.85 to $.90 per diluted share for our full year 2009 for a forecasted increase of between 13% and 20%. I want to reiterate how proud I am of the progress we’ve made this past year. We’ve clearly demonstrated that our business model is sound and that we can post solid results under a variety of external market conditions. While 2009 certainly won’t be without its challenges, I’m confident our focus on organic growth, deleveraging and disciplined acquisitions will continue to create value for our shareholders. With that, operator, we can begin taking questions.
Operator: (Operator instructions) Your first question comes from Adam Feinstein – Barclays Capital.
Adam Feinstein – Barclays Capital: Really strong quarter here, just a couple of questions I guess just as a follow-up, Jay. The volumes looked great. You highlighted that volumes are holding up and the business is not being impacted by the economy. I was just curious if you can comment a little bit on mix, any changes in terms of your mix of patients with the higher growth in some of the higher acute areas; just curious if you could provide some clarity there? 
Jay Grinney: Sure, I’m going to ask Mark Tarr who’s our Executive Vice President of Operations to respond to that.
Mark Tarr: We continued to see growth in our neurological program specifically stroke has been a nice steady performer for us, accounting for almost 18% of our total patient mix. Other neurological continues to grow for us. This past year we saw it grow 1.5% from previous year to account for 10% of our total patient mix as well as the injuries related to trauma, specifically brain injuries and some spinal cords in our facilities that are closely in proximity to trauma centers, so we continue to see our neurological case mix grow and our dependence on orthopedics decrease.
Adam Feinstein – Barclays Capital: Okay, great, and then just to follow – do you have a Medicare case mix for the quarter?
Jay Grinney: I'm not sure if we have provided that in the past but our range has been pretty consistent in that 1.28 to 1.30 level. And that really hasn't changed too dramatically over the year and maybe unlike some of the other acute care providers we don't see major shifts in the case mix index quarter-to-quarter. If there's going to be a shift it usually happens pretty gradually and is over a longer period of time.
Adam Feinstein – Barclays Capital: Okay, great. And then just a follow-up question on the guidance here, I guess it's a couple of minor things, but just could you just clarify what sort of share count you're using in the 2009 guidance? And then I know you said on the Medicare side that you were assuming at the low end flat pricing when the update comes out later this year as well as you said some modest increase to the high end. But in terms of the non-Medicare side of the business I just wanted to see if you could just give us an update in terms of the range of pricing?
John Workman: Yes, on the shares, 104.7 million shares is what we're using.
Jay Grinney: And that's the fully diluted count, Adam, plus the 5 million shares that relate to the shareholder litigation that we believe will be issued sometime in 2009.
John Workman: And in terms of the non-Medicare pricing we're looking at the low end of that 3% to 5% range that we had talked about previously as what we think that range ought to be on a go forward basis and so we're still pretty comfortable that the non-Medicare pricing will be in that range. I think in 2009 our forecast and the guidance that we're providing is based on the assumption that it will be at the low end.
Operator: Your next question comes from David MacDonald – SunTrust.
David MacDonald – SunTrust Robinson Humphrey: Hey Jay, you talked about you looked at hospitals opportunistically. Is it fair to assume that de novos will kind of be third in the pecking order or are you going to be looking to do acquisitions or some type of joint venture to preserve capital as much as possible?
Jay Grinney: Yes, I mean I think the pecking order really is first debt repayment. Second is going to be bed additions, third would be acquisitions where there is a consolidation opportunity, fourth would be if there was a de novo opportunity and we had the financing lined up and then the last would be acquisitions in new markets.
John Workman: And I would add to that financing at reasonable rates, David.
David MacDonald – SunTrust Robinson Humphrey: Okay. And then just a couple of other questions, guys, I think the number is in the neighborhood of 8 million that you're going to spend on TeamWorks in 2008, can you give me a sense of, I know there had been some chatter about a TeamWorks Light initiative on the labor side, just kind of where those dollars are going to be redeployed or kind of what's going on there?
Jay Grinney: First of all it was closer to $5.5 million in '08 and there will be a series of different initiatives. We're looking at three different tracks. One is focusing on our clinical outcomes and enhancing those. Second is looking at a variety of ways to improve our operations. The labor agenda is the number one topic in that track and then the third is differentiating ourselves with respect to service. So there will be an investment. Clearly it won't be to the same magnitude as we had in 2008 with the very focused effort on sales and marketing, but we are going to be making investments in operational improvement, clinical enhancement and service differentiation in 2009.
David MacDonald – SunTrust Robinson Humphrey: And then guys, just a final question on the labor expense, that was a lot better than we were looking for. Is changes to paid time off and increased efficiency really all of it? Is there anything else in there? And secondly is the environment helping you guys in terms of finding people and maybe not having to have to pay as much to bring folks onboard?
Jay Grinney: Well, there's no question that the economic environment is helping us from recruitment and I believe a retention standpoint. I would say though that part of that retention is attributable to the fact that we are not laying people. We've made some adjustments to our benefit programs but they remain very competitive and you can pick up any local newspaper in virtually any market where we have a presence and read about acute care hospitals having to cut back. There are some reports of 401(k) plan matches by the employer being discontinued, so on and so forth So we think we have a very competitive compensation and benefit structure and clearly the tightening of the economy is making it a little bit easier to bring back to the workforce people who had maybe stepped out for a couple of years.
John Workman: Yes, and there was the, on the issue of non-comparable, we mentioned that there was $6 or $7 million of non-comparable in the quarter.
David MacDonald – SunTrust Robinson Humphrey: Yes.
John Workman: Part of that was in Worker's Compensation that we ha the benefit and that's why we talked about, or I talked about being mature and we're not seeing that same opportunity going forward. But some of that was just reflected in the fourth quarter and helped to make that percentage a little bit lower in addition to the items that you mentioned. And as we said before, and as Jay said in his direction, our goal and I think what you should be looking at is to stay within 51% or south of that as salaries and benefits for the full year as a percent of revenue.
Operator: Your next question comes from A. J. Rice – Soleil Securities.
A. J. Rice – Soleil-Pomeroy Research: A couple of things real quick, you guys had a nice slide number 12 on the free cash flow and you've given us a target for EBITDA for '09 and at the high end you'd pick up $10 million relative to this year. As you look down that chart, John, maybe is there any other of those items that you would expect to materially swing in either direction either as a help or a detraction from cash flow, free cash flow generation in '09 that maybe is worth highlighting here?
John Workman: I think a couple things, one of which is cash interest expense should be going down. But you're also going to see probably a little tick up in that interest rate swap because we'll be getting some benefit on the interest expense line but clearly some pay back if you will because of the swap. But even if you combine those two we should experience less cash going out the door in '09 than we had in '08. Working capital probably some slight use, again, it kind of parallels pretty much our change in our revenue and hence receivable mix so at a little bit more modest volume growth in '09 you might not see as big a use but it still will be probably some use if that's helpful.
A. J. Rice – Soleil-Pomeroy Research: Okay. And then you, obviously this year you had a lot of success paying down debt, $228 million in it with $1.8 billion and I know you've got for 2010 you all are getting to four times debt-to-EBITDA. What, any sort of range of expectations for how much debt you might pay down over the course of '09 and can you give us any flavor for what tranches of your debt would be the areas of focus and you might see that pay down?
John Workman: I think what we said was 4.5 times leverage ratio by the end of 2010. Clearly we are on a track to get there sooner than that. One of the big items that we didn't talk about on the call was the derivative action against Ernst & Young.
A. J. Rice – Soleil-Pomeroy Research: Right.
John Workman: Optimistic that if we, as we said in some of our investor presentations, that we might get proceeds from that in 2009, if we do then we'll be easily below the 4.5 into share time. As my comments said in 2009, we've already paid back a revolver with the cash we've paid down debt an additional $64 million. That other 24 went toward the term loan because it was required to go against the term loan because it was a tax refund and that's what the credit agreement required. We will continue to be watching for opportunities to buy higher cost debt as we proceed through 2009. And it has traded up as you probably know and I'm sure there's fixed income people on the call especially are fixed rate bonds. It's not quite as attractive as when the bonds were trading at a steep discount, but we will be looking to opportunistically pay down debt and our highest cost debt obviously as we progress through 2009. Again, with some limitations depending on the source of the proceeds about whether they need to go against the term loan or available for other purposes.
A. J. Rice – Soleil-Pomeroy Research: Okay, and then you answered a real quick question on the lines, thanks for the comments. You guys had strong volumes and continue to have strong volumes. You're getting a lot of comments from the orthopedic vendors and people following the device side about weakness in various [acute been] markets. You guys have a little bit of a mute still on the outpatient side. Can you maybe, I mean are you seeing that even on the outpatient side? Obviously you're not seeing it on the inpatient side it would seem. And maybe Jay, could you make any comments on that?
Jay Grinney: Yes, where we're seeing it clearly will be in our lower extremity joint replacements and as we've said before that represents today approximately 10% of our total volume and that has remained fairly consistent now for the past year. So I think that the comment that you're hearing probably refers more to the non-Medicare and elective procedures not the kinds of patients that we treat. Now, will there be a potential impact on the outpatient side? Perhaps and in fact as we said, as we look at 2009 you need to build in a slight deterioration in outpatient revenue, so we are forecasting that there will be some weakness in that area but again, overall it does not negatively impact the overall performance of the company.
Operator: Your next question comes from Pico Chickering – Deutsche Bank.
Pito Chickering – Deutsche Bank Securities: Just a couple questions here, so I realize it's a pretty erratic number but the length of stay was down considerably fourth quarter versus even for the first quarter of this year. I realize this impacts consolidated res and then it positively impacts margins. Is there any guidance as to where it should be in 2009?
Mark Tarr: Yes. I don't see it changing drastically from where we were in 2008 going into 2009. The decline that you've seen and just mentioned is really I think just our clinical teams have just become more efficient in caring for the patient so it has obviously contributed to the decrease in the length of stay.
Pito Chickering – Deutsche Bank Securities: And then on market share gains, you've obviously been outgrowing the industry quite a bit. Is there any feeling for where those market share gains are coming from specifically? Are you taking market share from other inpatient rehab facilities or from other less acute providers? And split on kind of how we should look at those gains?
Mark Tarr: No, that's a great question. Unfortunately there are not data sources out there to tell us. The UDS data source is for inpatient rehabilitation providers. So if you look at the change in the slide in the deck, it would imply that we are taking market share from other inpatient rehabilitation providers. The kinds of patients that we treat in our hospitals are really very different than the kind of patients that end up in the nursing home and despite putting the name rehabilitation in front of nursing home, it's still a nursing home and the requirement in our hospitals are that patients have to be able to tolerate at least three hours of pretty intensive rehabilitation every single day. So most of our share we believe is coming from other patient rehabilitation hospitals, but we also think that we're gaining back some volumes from physicians who were referring patients to nursing homes out of necessity. Not because they wanted to but out of necessity during the 75% rule implementation. So unfortunately there's not any hard data source that would be able to quantify that. This is more sort of anecdotal and knowledge of the markets, but I think we're gaining really on both fronts.
Jay Grinney: One thing I would add is I think we were encouraged and as you know the data is on a quarter lag basis, but we were encouraged to see that the industry had positive growth in the third quarter and based on our strong results we would also expect the fourth quarter may show the industry growth, too, so I think that's an encouraging point.
Pito Chickering – Deutsche Bank Securities: Okay, and then sort of I guess two quick follow-ups here, you had a pretty solid same store growth in the fourth quarter, yet the number of full time employees and contract employees had pretty minimal increase. So looking at sort of is the current productivity, do you expect to continue growing that in 2009 or were you guys pretty much maxed out at where you were today?
Jay Grinney: Sorry, I didn't understand the question, Pito?
Pito Chickering – Deutsche Bank Securities: Okay, so I guess looking at your same store volumes, 9.7% and then if you add up the number of full time employees and contract employees, so that change year-over-year is only about 1.7%?
Jay Grinney: Yes.
Pito Chickering – Deutsche Bank Securities: So as you keep growing in '09 granted floor levels, do you think you can sort of keep that delta or will it sort of be more in line with volume growth?
Jay Grinney: One caution is what you just described was looking at quarter-over-quarter and remember there is a bringing on full time equivalents they typically have to precede volume increases because of the training that's involved and we've talked about that when we had some large increases in the past being one of the reasons why salaries and benefits as a percent of revenue were higher because there is that time period. So be a little bit careful about just looking at the quarter change, but I think the broader question's on productivity.
Mark Tarr: Yes, Pito, if you look at our slide in here that refers to the EPOB, our staffing ratio, we made some nice progress on that in '08 versus '07. We'd like to think that our initiatives on the labor side and as we work towards standardization across our hospitals using the best practice approach that we would continue to see some pick up in that but that we'll work on that every day.
Pito Chickering – Deutsche Bank Securities: And then last housekeeping question, the timing on the new beds in 2009, is there any feel if those are sort of more back ended or are those for throughout the year?
Jay Grinney: They are back end loaded.
Operator: Your next question comes from Rob Hawkins – Stifel Nicolaus.
Robert Hawkins – Stifel Nicolaus: Can you guys help me a little bit and maybe I missed it on some of the guidance details and I guess what I'm seeing from the EBITDA, I guess a suggestion in terms of rates and volumes if you think about your commercial being kind of 3% to 5% zero on Medicare, you're kind of looking at somewhere between maybe a half a point and a point on kind of revenue per discharge growth. Would I be thinking about that right? And then maybe based on the EBITDA guidance 4% to 6% on the volume growth?
Jay Grinney: I think that the volume assumption that I would use in 2009 is in that 4% range. We've managed this company for the last four years through the turn around and into 2009 in a pretty prudent manner. And we don’t want to get out ahead of ourselves. We want to be able to deliver on the promises made so I think on the volume side you ought to be looking at 4%. In terms of pricing there is really two sets of assumptions, one, that we got no increase from Medicare and say a 3% increase on the non-Medicare. And then at the high end that we get a modest. Now, we're not out there predicting what that's going to be. Clearly we think we deserve a full market basket update given the fact that we've gone 18 months without anything. And there are people from CMS listening to this call just like everybody else so we're not going to signal that we would be happy with anything less than a full market basket. However, for guidance purposes we're going to be more conservative than that. So you've got the volume assumptions. You've got the pricing assumptions. I think that the other thing that's important is to look at the starting point as $335 million, not the 341.8 because there were those non-comparable that John mentioned that really need to be netted out so you start at 335 and at the 342 that's a modest increase but it's reflective of a really harsh pricing environment and then at the top end the 352 is 5% EBITDA growth which we think in this climate is pretty good.
John Workman: And Rob, remember that on the non-Medicare they're not always effective as of the beginning of the year. Those come into effect throughout the year and are fairly even and lastly we gave some commentary on outpatient and I would be expecting outpatient revenues to decline in '09 versus '08, though perhaps not at the same level of decline that we experienced in '08 versus '07.
Robert Hawkins – Stifel Nicolaus: All right. Thanks, and then just a clarification point then on Medicare Advantage. That's in your commercial and in your commercial pricing, correct? And then where do you guys stand on contracting; is most of that stuff already locked in this year?
Jay Grinney: A lot of it is locked in and it is in the commercial and what we will hope to do is to include that into the Medicare line item because we do think that that ought to be reflective of the Medicare pricing. But right now it is in the managed care bucket.
Robert Hawkins – Stifel Nicolaus: Okay. And then non-profits are struggling, obviously, and the recent AHA survey said that one are they're thinking about cutting are many cited cutting in the survey included rehab. So any acceleration in discussions going on there?
Jay Grinney: Well, we certainly are seeing more discussions and what you just reported I think is indicative of what's happening in the market. But we're going to be pretty disciplined with respect to our free cash flow and we clearly want to grow but our first priority is paying down debt. I think in this environment and this market that's the prudent thing to do. If there is an opportunity to acquire and consolidate we'll definitely want to be at the table.
John Workman: Hey Rob, one of the interesting dynamics that we have to watch now in what you just described is the referral source itself, whether the acute care hospital because in some cases as you know the acute care hospitals are under such dire strains that you have to worry about the future viability of those. So when you evaluate those we also have to think about that, not in all cases, but at least in a few we've had to consider that.
Operator: Your next question comes from Paxton Scott – Jeffries & Co.
Paxton Scott – Jeffries & Co.: Nice quarter. You may have touched on this already, but I was hoping that you could provide a little bit of color on kind of what you've seen on the volume front so far in the first quarter and if that's comparing in line with your 4% range or if it's above or below? And then secondly I was going back to the NY and UBS litigation, can you all remind me if you've given a range of the expected proceeds there or any additional color that you can provide? Thanks.
Jay Grinney: Taking that in reverse order, no, we have not provided any kind of range. We think that that would be inappropriate quite frankly. We certainly don't want to create any sort of artificial ceiling. There's no question that the damage to the company has been significant and we're going to be pushing very, very aggressively on that litigation. In terms of volumes into the first quarter we do feel good about where we are at this juncture. First quarter was a big quarter, is always a big quarter for us. We have one less day this year than we did last year so I don't want to get out ahead of ourselves but there's no question when we started our TeamWorks back in 2007 we knew that bringing new patients in was going to be the important component of our business model and we remain committed to that.
Operator: Your next question comes from [Noah Yosha – Health Corp.]
[Noah Yosha –Health Corp.]: I just had one quick follow-up to I think it was A.J.'s question on the free cash flow. I think the adjusted cash flow number for the full year, that $82 million, should we think of that as growing that same 5%, Jay, that you just walked through for the EBITDA growth?
Jay Grinney: That's probably a reasonable basis, yes. I would say. I mean it could be a little bit higher only because we should see cash interest plus swap come down a little bit.
[Noah Yosha –Health Corp.]: Okay, and then total de novo or any growth CapEx in 2009?
Jay Grinney: There will be some growth CapEx in 2009, yes.
Operator: Your next question comes from John Ransom – Raymond James.
John Ransom – Raymond James: Probably an unanswerable question, but how do you expect the 2010 budget process to play out? I know we'll get to say that the [inaudible] we've already had the fiscal responsibility summit, but what are your lobbyists telling you the earliest you might see some daylight on some of the details on some of the healthcare service sub-sectors?
Jay Grinney: Yes, that's a good question. What we're hearing from Washington and it's the same thing that probably everybody on the call is hearing, is that healthcare is going to be a top priority. What we're also hearing though is that the priority is to address the uninsured and to provide some means of bringing that large number of uninsured down. Our piece of the overall pie if you will, Medicare spending pie, is relatively modest. If you look at 2008 it was about $6 billion so it's not a huge component. We don't anticipate that our sector is going to be negatively impacted in part because of all of the structural changes that have occurred over the last several years. So we'll probably start to see some visibility on health care spending in the latter part of the second quarter, maybe the mid part of the second quarter.
John Ransom – Raymond James: The only thing I've heard from Washington is that your taxes are going up. That's the only thing I know for sure. That's it. Thank you.
Jay Grinney: There are certain things as we all know that are certain in life.
John Workman: And that's one of them.
Operator:
.:
[Rae Ramaldo] – Stone Harbor: Just a quick one on the restricted cash, can you just – what does that consist of and what is it earmarked for?
John Workman: There are two things, as I said earlier in the comments it's much higher than a year ago because the UBS settlement had to be escrowed. It was actually paid into escrow before year end. That will become available cash to us some time here in the first quarter is our expectation and it will become available cash. So that would go down roughly $100 million for that even though the company would only net $60 million out of that because we have to pay the fees to the attorneys. The remainder is restricted cash that is in our joint ventures with our acute care hospitals where we may not – they may, number, may not be – the cash is not accumulated with the HealthSouth accounts and it's kept separate. And so for those purposes we keep that as restricted cash. And lastly the other big item is we have a captive insurance company and that captive insurance company had to have a certain amount of investments and cash itself to support the reserves on the captive insurance company. This is the single biggest component once you back off the UBS proceeds. And that will not be coming back to the company any time soon. The joint venture, kind of the cash gets paid in back to the company, restricted cash builds and it's just kind of a continual cycle.
Mary Ann Arico: This concludes our conference call today. If you have additional questions we will be available later today. Please call me at 205-969-6175. As a reminder we will be attending the Barclays Capital Global Healthcare Conference on March 10th and 11th. If you are unable to attend our presentation will be available by webcast on the Investor's section of our website. Thank you for joining us today.
Jay Grinney: Thanks everyone.
Operator: This concludes the HealthSouth fourth quarter and full year 2008 earnings conference call. Thank you for participating; you may now disconnect.